Operator: She joining us this afternoon. At this time, all participants are in listen-only mode. Before we begin with our formal presentation, I would like to remind everyone of several important things. First, a question and answer session will follow the formal presentation. If you have questions during the presentation, you can type them into the chat to be answered during the Q&A session. Questions can only be seen by the moderator. And as a reminder, this conference call is being recorded. Please remember that statements made on this call and webcast may contain provisions, estimates, or other information that might be considered forward-looking. These forward-looking statements represent our current judgment on what the future holds, and they are subject to risks and uncertainties that could cause actual results to differ materially. You are cautioned not to place undue reliance on these forward-looking statements, which reflect our opinions only as of the date of this presentation. Please be aware that we are not obligating ourselves to revise or publicly release results of any revision to these forward-looking statements in light of any new information or future events. Throughout today's discussion, we will attempt to present some important relating to our business that may affect our predictions. You should also review our most current Form 10-Q for a more complete discussion of these factors and other risks, particularly those under the heading risk factors. A press release detailing these results, which crossed the wire this afternoon, is available in the investor section of our website mdb.com. Also, a replay of this will be provided on mdb.com. Your host today is Chris Marlett, Chief Executive Officer and Co-founder of MDB Capital Holdings, LLC Class A common. And he's joined by George Brandon, MDB Capital President and Head of Community Development. Chris will lead the update on our second quarter ending 06/30/2025. So at this time, I would like to turn the call over to Chris Marlett.
Chris Marlett: Alright. Thank you, Tony. Well, thank you all for joining today, and I wanted to welcome George to the call. George is going to be talking to what we are doing on community development and other areas. And so I will kick it off with the financial perspective. So as you all know, our revenue is largely from financings, and we did not complete any financings this quarter. So we had some revenue from Pat and Vest as we are now starting to scale those operations. And our goal is really to offset operating with financings and then the equity in the finance company and our big idea companies is really the upside for shareholders. And so we incubate as we incubate more of these, you know, the current revenue from launching more developed companies really offsets any sort of the cash operations of the company. And there's always this balance of, you know, how much equity are we looking to generate versus fee income. And it's a balance, and we are trying to be cautious. We are also trying to balance making sure we have enough companies so that our community can effectively build a public venture portfolio. For the first six months of 2025, we had cash utilization of $3.4 million, and we expect to be closing some finance in February '25 to reduce or eliminate that cash usage. So let's talk about where we are headed, not so much where we have been. Because it's been a challenging last, you know, sort of year for all of us as shareholders. And I think that what's happening and what we are feeling is very different from what's being reflected in the stock price right now. So all I can tell you is that public venture is really building, and we are super confident in what we've built. And we really do have the most sort of unique and capable platform to curate and deliver these market-leading companies that really have this sort of 10 to 100 bagger potential. And we've been doing it for twenty-eight years. We recently published a report that talks about the 17 companies we've kind of and taken public. And I think it gives a really good overview, which we've been, really, you know, presenting to a whole new group of investors that have never seen public venture before. And we're really getting a great response. And what we're really finding is that they see this as an unbelievable asset class to position investing, you know, their investments in going forward. But we also recognize the key bottlenecks that we really have kind of, you know, realized what's happening over the last, you know, year. And quite frankly, the investor hesitation towards deep tech life science investments right now has been, you know, quite obvious. What's happened is that this has been the absolute worst segment of the market. And we, you know, we understand that that's where we've basically made, you know, created billions of dollars of wealth for investors and for, you know, founders and for people who have worked in MDB over the years, and that's just not been the place to be. The other thing we've recognized is that as we start to scale the number of companies we bring out, we need to scale up our investor community to really, you know, support, you know, these high-quality opportunities we're creating. I can tell you that our team has done a phenomenal job on all fronts. And we're, you know, our analyst team as far as curating and standing up new opportunities, which I want to talk to you about in a second. And then really expanding our investor community, George, and his team has been doing a phenomenal job, and so we'll get into that. So to really realize the promise of what we build as a platform, we really need to bring investors what they want to invest in now. And I think that the opportunities in profitable growing early-stage companies still have an asymmetric return potential, and public market liquidity is really what we're hearing people want. And, you know, thankfully, we're very well positioned to add value to these opportunities beyond life sciences. And in addition, obviously, we need to expand our distribution as I touched on, and we're reaching out to these new investors and you'll hear more about that from George as we get into it. That is, you know, going incredibly well. And what we've realized is we provide a really attractive alternative for allocating capital versus sort of traditional venture or angel investing. So the product mix, what we've learned is again, life's early-stage life science companies lacking revenue momentum, or profitability are really struggling. You know, these companies that we've done are taking longer to develop as is many times the case. But in, you know, different markets, the markets were a lot more forgiving. We funded these companies at what we believe super attractive valuations but, you know, obviously the market has to know, value that. And right now, it's just not that's just not going to be the case. And so investors want to really balance, you know, quicker returns with their venture bets. And I think that that's why we're starting to expand the universe of companies we're looking at. The other thing we realized is that profitable growing companies with revenue momentum are super highly valued in the current market. And that's really good news because I think that that's going to have a profound impact on, you know, how companies look to raise capital or to see their companies highly valued. That's not happening in the private venture world today or in private equity. And so we think more and more of these kind of exciting growth companies are going to go public. And so we see a big opportunity on the horizon, and our team has done a great job of sort of curating more and more of those companies. So as we expand our product mix to include these profitable companies, with revenue momentum, we think that, you know, we're going to get a lot better, you know, reception from all the various investor groups that we're talking to. And, you know, I think that today, we announced our, you know, our first profitable company that we're going to be taking public. It was filed with the SEC, which we'll talk to a little bit here in a bit. And we're still continuing to focus on companies that can become new leaders and create new, you know, new categories. We're not just, you know, doing companies that are profitable. These are still companies that still have that 10 to 100 bag of potential that are blazing new trails and creating new businesses. So it really, we believe, will enable us to get more deals done by expanding the investor interest beyond life sciences. So to that end, today, we filed the prospectus for what I think is going to be potentially the next, you know, monster beverage type opportunity in the beverage space. And what these what Buttigieg has done is created this new category called ultra-fresh. Today, grocery stores don't have fresh juice because they have to juice inside the stores. There's a shelf life issue, and these guys have figured out how to do centralized juicing, and they're getting big track with big chains. It's super exciting. They're growing rapidly. And we expect great things from them. I don't want to spend too much time on it, but it's been a great sort of experience in working with the CEO who I've known, and they were very much looking forward towards going into or being, you know, partnering with private equity, and they had some, you know, experience with private equity in the past, and I think they really saw that the public markets are a better place for them to really grow their company raise additional capital, to meet the expansion that they see coming in the, you know, the very near future. So look forward to talking to you more about that company. As we take the company out and complete the IPO. So again, we really believe that the public market is the place to be in, and we see a dramatic shift occurring away from private equity and traditional venture. And we're hearing that more and more from the RIAs and family offices and other investors that we talk to. You know, what's happened over the last, you know, twenty years is we've seen up to 35% of these portfolios of these family offices allocated to private equity and public venture, excuse me, traditional venture. And we see that as being, you know, they're all coming to the same conclusion at the same time that that's not the place to be. And so they're all looking, you know, they all see the benefits of having liquid securities that are priced at, you know, transparent pricing as opposed to the opacity that exists in private markets. And I also think that the entrepreneurs who run the companies are recognizing the drawbacks of private equity and traditional venture. And we're helping them to understand that they can go public and actually do it in an efficient way and not believe all the things that have been said to them, which is it's super expensive to be public and companies die when they get in the public markets, etcetera. The companies that are growing and profitable are doing incredibly well in the public markets right now. And what's really encouraging is not many underwriters have the process or platform to take these early-stage companies public like we do. So we think we represent a really unique opportunity for these companies to go public, and we're having great conversations with these people. And I think that they're and companies and they're finding that this is a very exciting alternative for them. We also, we're not throwing the baby out with the bathwater, and we really started to think about what are we going to do in life sciences and how are we where are we going to focus our efforts and where is really the big upside. You know, we've had, you know, oncology got very, very overinvested, and there were too many companies and became very, very difficult in oncology. And so we really have started to think about where is the future in life sciences. And we really believe that metabolic health is really the biggest opportunity of our time. And metabolic health is such a gargantuan opportunity that is now just being scratched upon the surface with what we're seeing with GLP one drugs. And you know, I can't overemphasize enough that if you look at the drugs for both diabetes and for obesity, and other therapies, we're looking at probably $200 to $300 billion, which dwarfs all of the other pharmaceutical markets. And so we see this as, you know, one of the greatest opportunities. Obviously, there's a lot of other people investing in things like crypto and AI and other things. We think that, you know, AI is going to have a is going to be a big driver in health care. But we really believe that what's going to happen in metabolic health is perhaps the biggest opportunity we've ever seen. And our team has done a great job of curating we believe could be really some of the greatest opportunities in metabolic health. And we're really focusing on this area, which we call the metabolic switch. For these 100 bagger potentials. These are all, you know, kind of companies that we think can represent multibillion-dollar valuation and bringing them to, you know, to our community at, you know, very modest valuations. So we've been out introducing Pollux Bio, which was built by a team that we worked with at prevention that, you know, we had a great result with that got a drug approved for type one diabetes. And was purchased by Sanofi for $2.9 billion. They came back to us with something that we find very exciting. That could be the first, you know, small molecule drug to really regenerate beta cells, which are the pancreatic cells that generate insulin. So this could be a first of its kind drug that would be a massive win. All these things, all these companies have in our mind very near-term potential. These aren't long-term, you know, propositions that take a long term to figure out if they're valuable. So with a modest amount of money, we believe that PollEx can generate, hopefully, positive data. They could generate, you know, a significant readout and significant value. As some of you may know, exosomes, which we launched and took public, has launched a new subsidiary called NCTX. And NCTX is an unbelievable potential value driver in that they have figured out how to bio NCT. And that has not been done. And we see that NCT is one of the most promising platforms, both as a nutraceutical and a to mobilize pathogenic organ fat and both in the liver and the pancreas. And it works via a completely new approach. Using mitochondria to effectively mobilize fat as opposed to basically, you know, preventing people from eating like the GLP one drugs do. And then lastly, GT Metabolic is a company that has what we think is an unbelievable metabolic switch through magnets that basically does incisionless, very faster, you know, laparoscopic procedure to do what they call a duodenal bypass. You swallow a magnet, it basically enables what we call an anastomosis, and they have super impressive patient data that basically in early patients that he switches off diabetes, and also causes sustained weight loss. We're super excited about all three of these, and we think all these have multibillion-dollar potential. And I really want to thank the analyst team for the hard work they've done to not only discover these, but, you know, put them together. And we'll be presenting all these at our September 4 event. Now talking a bit more about expanding our community. And I'm going to let George maybe talk to this a little bit or do you want you want me to talk to it, George? You want to go ahead? Well, I mean, you know, one, I it's something I work with every day. And I think what Chris is alluding to, and it's very obvious, is that what we're seeing in venture and private equity is there is a confluence of moving to liquidity. They're venture right now is constipated. We just put out a paper that Will Rossellini and Javier of Pat Invest put out yesterday about the AI and the rise of deep tech and really the decline of the SaaS model software. And AI is doing a number on a number of different areas. It's really positive to what we're trying to do and where we're going. And so I think family offices, RIAs, they're figuring it out. They figured it out, you know, a couple of years ago, and they're not willing to really look for the was a seven to ten-year hold going to ten to eleven to twelve. And so public venture has become we're kind of the new new thing that's been around twenty-eight years. And so we're coming up with a number of different models to help not only these angel groups, but really RAs and family office to be able to and invest and play along with our model over and above just being a shareholder in MDB and being able to participate in everything we do. That said, want Chris, why don't you go ahead and talk a little bit about, I mean, the very fact that you know, you got invited to a family office conference don't want to give all the details on that because I don't have them all. Is that something you can and I'll come back and talk about this the Caratsu announcement we just announced.
Chris Marlett: Sure. No. It's interesting. George, and team has really been out talking to a number of RIAs, and really, we're just figuring out, you know, how do people look at what we've done, our track record, etcetera. And it's great when, you when your stocks are down, you don't feel so good. Right? And we haven't felt so good about, you know, MDB stock being down and our stocks being down. But we really look at critically at ourselves and we looked at and we said, you know, we're in the wrong place at the wrong time. Well, our job is to be in the right place at the right time. And so but as we talk about what we do and the logic behind it, we've been getting unbelievable reception. We have a think, a $150 billion RIA that's invited me to come talk about public venture. A couple weeks. And as we talk to them, they're, you know, all of their clients have been allocated towards traditional venture and private equity, has been just as bad as being in biotech in the public markets the last couple of years. And so they see public venture as the future. And so it's pretty exciting. And, you know, I think that we're going to be out talking to a lot more of these folks and getting just unbelievable reception, which is, you know, feels good. Your stock's down. So George, I'll turn it over to George to talk about our new partnership, which I'm super excited about.
George Schuman: Yeah. We've been working on this for a while, and we just made the announcement earlier today around noon eastern. So if you haven't seen the press release, it's certainly available. It's you can, you can find it. It'll be on our website, but also on really any PR site, financial site. You can get more details. Correct. So is really one of the largest. They're unusual. And we're talking about Kuretsu a Carrezza Mid Atlantic MST is Mid Atlantic, Southeast, and Texas. Karetsu is probably one of the largest angel groups in the world. They're unusual in the fact if you take a look at the dollars they put into early-stage investments, it dwarfs really all the others. By a factor of about six or seven times. And so the gentleman who runs Karetsu is a former safeguard scientific employee. Safeguard scientific at you don't know Safeguard, we really stand on the shoulders of the founders of Safeguard, which was really one of the first public venture publicly traded models and Howard Lubert is the Kuretsu director. When I found out he actually came out of Safeguard, found the first big deal for Safeguard, which was Novell. And they put in somewhere between $1.92 billion dollars and pulled out a billion and a half. He gets public venture. Really, the first angel director, and I've talked to a lot of them, that really understands how public venture can work. So they're very excited about this partnership. They've formed a new group called IPO IPO Angels. Gonna look at somewhere between two to four deals a year. They're gonna help build a syndicate of angel groups. You know, in the nation, North America, and it includes Canada, and we're talking to some Canadian groups as well. There are 15,000 active angels less than there were five years ago. But and out of those 15,000, I think 200 groups that are associated and affiliated with the Angel Capital Association ACA, which is the overall association, and really to try to go out and hit each one of those up is a would be a big effort. Try done some of that, emailed some of that, sat on a podcast with a group that we've been working with, Tech Coast Angels out of Orange County, and it's been a great relationship. We'll continue that relationship. But to have someone who understands public venture and, you know, MST and Howard that really is gonna put his efforts in building out a syndicate of launching, you know, the companies that really Chris is talking about expanding to, companies that are near profitability or profitable that we take into the public markets, those angels are holding those investments that they make for I think the average is twelve years. And no one's got twelve years anymore. We're all getting older. And when you can take a look at where we're going from, you know, a round to IPO within, you know, twelve, eighteen months, they don't they think that's miraculous. And so we're gonna work with them very closely. It's now we've got one group that helps build that quilt of angel groups. I think this is a great group. There's a confluence going on. Where they're moving later, and then we're talking to a couple of groups on the microcap public space. That is looking for not only companies that can be in the microcap space and do well. But that they could take advantage of QSBS twelve o two. And if you're not familiar with QSBS twelve o two, you need to write it down. Need to look at it. You need to tell your accountant about it because everything we do usually is QSBS twelve o two. And the big beautiful bill just changed the rules and the benefit of these type of investors. They've moved the target from you got to have a minimum of $50 million or a maximum of $50 million of assets, not market cap assets, they moved it to $75 million to qualify. That is really gonna qualify pretty much everything that we ever look at. And they've changed from what was a five-year hold for 10 the greater of 10 times your money or $10 million to a three, four, and five-year opportunity for tax benefits. This is a major situation that's really plays into our hands and certainly will cause family offices and wealth managers to take it very seriously. So that's about all I got. I mean, that's you know, we are gonna continue to expand the community. It's really important. When you're doing one deal every eighteen to twenty-four months, it was pretty easy to take the community we've had and put those deals up you're gonna go to, you know, two, three, four, five, six deals a year, we've got to expand our community multiples. And we got some things in place. Obviously, today's announcements is one of those opportunities. I'll kick it back to you, Chris.
Chris Marlett: Sure thing. I think we touched on RIAs and, you know, their eagerness to talk to us and try and figure out how to fit what we do into their platforms. Obviously, some of these guys that are managing, you know, multibillions, we're not putting that much to work. But I think that what they see is that this is something that you don't have to allocate, you know, 35% of someone's net worth to. You can allocate a very small percentage and make it a meaningful investment for their clients. And they're really in the business of curating the best stuff. They can't be left out of, you know, stuff that's working. And so they're really curators of investments and managers of investments in general. And we're really the what we believe is the best curators of these of these the leaders of tomorrow, these potential 100 baggers that we've focused on for our entire, you know, existence, if you will. So the other thing that we're looking at quite, you know, quite closely and we're there's been a lot of discussion with our group is sort of these new age distribution platforms. And what's happened is regulation we made a bet when we first went public that needed to be a clearing firm because regulation was going that they were gonna, you know, shut down micro cap. Well, obviously, things changed dramatically. Now we're talking about tokenization of equities and we're, you know, regulation the, you know, as a result of the election, regulation's gone exactly the other way. Reggae plus, which I never thought was gonna survive, because I just didn't see that advertising offerings online and on TV and things like that were gonna work long term. Exactly the opposite's happened. And what's happened is reg a plus is happening. We're seeing, you know, very large offerings happen. Using Reg A plus. And what we now realize is that Reg A plus is quite frankly, it's a reality. And there's no reason why we can't, you know, utilize Reg A plus and other distributions like platforms like that going forward. And then there's also things like Robinhood and all these other companies are starting to participate in IPOs. That other underwriters are doing. And so we historically have never worked with any of those kind of folks before. We've never looked at it as a real opportunity. But now we're out actually talking to these people. And again, we're having a great reception in the sense that they look at what we do as being, you know, sort of master creators of or curators of these opportunities that they see the logic of partnering with us. So we're hoping to see that we can also partner with what I call these new age distribution platforms. And we're making a lot of progress on that as well. So the last major theme that I want to communicate before we get to summation is basically we've as we've been scaling up patent vest, and, you know, getting that operational as a law firm, you know, our revenues are starting to scale. We're getting a lot more momentum from companies. Now that we sort of figure out exactly how to position the firm. We're starting to add clients at a much more rapid rate. And what's, you know, become very clear to us is that the practice of IP law is gonna change dramatically. And the emergence of AI is not just impacting IP law, but I think it will have potentially more impact on IP law than any other space in law. And luckily, we did become this Arizona business, you know, law firm, which enables us to have non-lawyer ownership, but also enables us to partner with not only companies, but lawyers and also partnering litigation as well as IP development like no other law firm can. Traditional law can't do that. Also, traditional law is very much wrestling with what do they do with AI. And the old law firm models of the billable hour is not what companies really want to hear anymore. The companies want to hear about value creation. They don't want to hear about how many, you know, how many hours you work for them. So we think there's a massive transformation happening in law, specifically IP law. And so we've made the decision that as that sort of new big idea of this law firm is developed, it's ready to be spun out as its own independent public company. We really believe that this is a transformational shift. And so we are now making preparation to spin that off as its own company and take it public sometime in 2026. And while we'll still be very connected to Invest, well, obviously, the processes that we developed to, you know, to really develop sort of IP and technology leadership for these companies. We're still gonna be employing within MDB, but we really believe that Padvest is gonna be a very valuable entity. In its own right and we want to spin that off to shareholders and develop that as its own independent business and aside from what we're doing in public venture. So we're super excited about it. We're putting together the plans, the team, etcetera, to, you know, also monetize that as an investment. For the shareholders which currently, you know, is certainly not being recognized in the value of the shares of MDB currently. So all of this we really we've now we've I'm sure you've heard about our investor summit that's happening next week at Old Parkland in Dallas. We have think, what is the number of seats we have for the we have a hundred 40 we're right there. So gonna are we gonna record the conference? I guess I should ask. Well, we're gonna record parts of it. It's not gonna be streamed live and, you know, there'll be an opportunity to go back and listen to presentations from a recording. So we're gonna have all of our existing companies are gonna be there as well as these new opportunities, and we're gonna talk about what we're doing in metabolic health. We're gonna have a special presentation from Buttigieg's to kick off their roadshow. And we're also gonna have our new friends from the and IPO angels be there. And I think it should be a great event. So for, you know, those shareholders, if you haven't already, you know, registered, you should go ahead and register. And I think we'll look forward to seeing you next week. And I think it'll be a great event. And any other words about the event? George? I'm We also have Matt Burris. If you're not familiar with Matt Burris, it's b u r r I s. It's the Venture Studio Forum. What's happening is these Venture Studios, which you may not be aware of or familiar with, I know we weren't, He is one of the lead leads in that. He's creating a venture studio kind of Morningstar report. We our back test our track record puts us at up at the top of any deep tech venture studios. And a venture studio really is a firm that finds an idea, puts the board together, puts the management together, puts the financing together, and help these companies get commercialized and to an exit. Or to a liquidity event. You know, we've been a venture studio all along. We just didn't know what a venture studio was. So once we found out we were one of the top venture studios, in the world, we thought, yeah, we're a venture studio. Love venture studios. We'll always be a venture studio. So he'll be there and presenting. He'd be great. If you're gonna be there, you wanna Matt Burris, as well as Howard of Koretzu. Other they'll have some visibility of where we're going in both of those areas.
Chris Marlett: Alright. So to sum up, we are really, you know, the team has done a great job of really figuring out how we want to move forward, expand our potential, and really leverage our platform, you know, that we've built now. And so, you know, our team has done a great job of expanding our product mix to really understand and meet, you know, sort of investor demand. We really Jordan's team has done a great job. Of really positioning ourselves well not only, you know, these angel networks, but RIAs and as we, you know, curate these the best early-stage companies, you know, that have really market-leading potential. I think we're, you know, we're gonna con we're gonna have, you know, great success going forward based upon what, you know, the way the optics of the way things are looking right now from all the companies that we are working with currently. And then lastly, really leveraging our unique asset and patent vest in as it becomes an independent public company, I think it's gonna create a lot of value for the MDB shareholders. So with that, I'm gonna turn it over to back to Tony for questions.
Operator: Okay. Well, thanks, Chris. If you would like to ask a question, please type your question into the chat. You can find the chat down at the bottom of the Zoom window. Use that button and go ahead and type it in. Remember, only the moderator can see the question, so we'll be able to take them from there. We'll give you just a second for those of you who haven't taken a minute to bring the question in. And, Chris, give me one sec. Let me queue them up. And here we go. So, our first question are there vulture opportunities in your core life science market?
Chris Marlett: You know, vulture is a, as they say, ugly word, maybe not ugly, but it's I think listen. What happens in tough markets the opportunities get better. Right? When there's hot money around like there was when interest rates went to zero, there was too much money around, you know, so you didn't really have great opportunities. And that's why, you know, after COVID and all the stocks ran up, we kind of took our foot off the gas pedal in life science we I get, you know, we got back too we got back in too early. We thought it had dropped enough. And, you know, I think we were a bit early. You know, some of the companies we backed, you know, are again, it was just it was the companies are doing phenomenal. From a technical perspective, but it's not reflected in the market price. So being too early is the same as being wrong. You know, we love the technology that they're doing a great job, but if the stock goes down, you're wrong. Right? Well, now you know, what we're seeing is valuations are super reasonable. So, yes, you know, if you want to look at it from a vulture perspective, I think there's some great opportunities. If you look at what we're doing with Pollak, we're, you know, we're basically doing this funding at a $20 million pre-money valuation. That's super cheap. If we get a readout, you know, we if that you take that pill and you produce a bit more insulin, you know, you're talking about elephant country. That could be a multibillion-dollar valuation. Again, there's no promises here but you at least have that asymmetric upside. That asymmetric upside did not exist, you know, three or four years ago. And before. And so asymmetric upside is really available today where it wasn't available back then. Same thing with NCT and what we're gonna be doing with GT Metabolic. These are these valuations based on where they're at are super reasonable. And so, yes, I mean, in a sense, there are. I don't think that, you know, the most important thing that you have to look at investing in life sciences, you know, is it gonna work? That's the most important thing. If it works, then it covers up a lot of things. But before, there were some things even if they worked, you wouldn't make money. And so that's changing. And so, yeah, I think there's a huge opportunity and we have our finger on the pulse and I think we're gonna continue to curate some of the best ones possible in that sector.
George Schuman: Hey, Tony. Let me pose the next question because actually you could be part of the answer for this question. A really good question regarding, you know, IRPR. Whether it's MDBH or Exozyme or portfolio companies. What's the plan? I mean, we're seeing these comp you know, our companies, we're seeing very little volume. What's the plan in order to, you know, as we execute on the model, what's your thoughts, Chris? You got a lot of experience in, you know, small cap micro cap, low volume companies. What's your thoughts on that, you know, that for the street to learn about them, to get behind them, support them, and so we could see volume liquidity go up in these names.
Chris Marlett: Yeah. Well, listen, I think the first thing you have to do right as any public company is you have to have your narrative correct. Right? In other words, you have to recognize the environment that's changed. It's a different environment than what it was before. And so a lot of times, these companies have to come up with different strategies to basically say, hey. Listen. Gonna get through to the other side. We're gonna get through to either commercialization or we're gonna through to a major inflection point technically. And these companies are doing that, and I think you're gonna see them, you know, position themselves for success. In some cases, they may be cutting their budget down to deal with this current market environment. In some cases, they're gonna look to partner maybe a bit earlier than they normally would. They're gonna adjust their business models and their narrative to reflect the environment. That's job number one. Number two, is they've gotta focus on things that are near term. Right? They've gotta focus on inflection points that are super near term. Make it super clear to investors. And I think strategically, of our companies are doing that, and they're I think they're doing a super good job. And I think over the next, you know, ninety, hundred and twenty days, you're gonna see evidence of that. As far as getting it on the radar screen, that is, you know, as you reposition it, you open it to a different, you know, audience of investors as well. And so I think it's starting to happen. I mean, I think you can see, you know, volume really is a function of money coming into the asset class. Low volume a lot of times is a good is a good sign. It means that you might you're near the bottom. Right? And then, you know, they say price begets volume. And so I think that as, you know, we've seen a couple of these small biotechs that have good news. Go up dramatically. You know, one that we were tracking and we almost did a financing for, went up, like, 11 times in the last, you know, last month. Because they on good news. So I think that some of these things are primed and then the volume goes parabolic. So some of these things are trading no volume, trading at very low prices, and then all of a sudden something happens. And next thing you know, you've got a ton of volume. So that's the way I see it. I think that's what's gonna end up happening. IR is in my mind, has been overrated. It's have a good narrative. Get in front of the people that you should that care about it. I would tell you over the last two or three years, the problem major problem has been people don't care about it. And that's in venture at venture and, you know, public venture in the life science sector.
George Schuman: So let me go then to Tony because you're, you know, on the marketing community side. Some of the efforts and what we're doing is to get the story out, you know, I we've tried a lot of different things, and we're gonna continue to try a lot of things, whether it's influence or and on a particular name. But can you speak to that a little bit, Tony, what we've been doing?
Operator: Yeah. I sure can. I think a couple things are really important for us. Recognizing, as Chris just said, that media loves success stories. Right? And as companies that we're financing have their own success stories and are creating newsworthy newsworthiness in the marketplace, it certainly helps MDB. But for us, being able to have speaking opportunities like the one Chris is about to do in Boston in a couple of weeks. George, you've been out on the circuit. Speaking with angel groups and Matt Hayden being out there with RIAs and big family office groups and things. Getting in very highly targeted selected audiences where we get the opportunity to tell the MDB story in a greater length than a fifteen-second blurb blast on social media or whatever. Think is a really quality over quantity in that sense is really important to getting our story out there. Podcast that the two of you have been on recently, is another great example of an opportunity in a setting where we know we have interested investors and interested financial writers and financial media listening is another great place that we continue to mine, and we're finding success in that. And then always we're working to find and create our own content. And right now, George, you mentioned at the top of the broadcast, Pat Invest has been terrific about creating reports in really helping to give investors education and information that demonstrates the breadth and depth of what MDB does and what Pat Invest does. That really separates us in our diligence and our curation and we fully intend to continue to do more of that and distribute it. So I would say those things are really the bedrock of what we're doing. Obviously, the block and tackling among press releases social media posting, and things, of course, we're gonna do that. But it's really the quality and the depth to our story that sets MDB apart.
George Schuman: So just the last part here, Chris, and we didn't really talk about it, but I got a question. We get questions on it all the time about what does the holding own? What's the kind of the plan to, you know, harvest, whether there's, you know, assuming there's gains there and what's the what's your plan on a distribution? I think it's always gotta be reviewed and kinda what you're thinking and how we're gonna, you know, proceed going forward as these companies. So, you know, some of these companies go to where we think they could go.
Chris Marlett: You know, I think that listen. What we said when we went public and we've said consistently is that, you know, I can tell you as a larger shareholder, I'd love to get a distribution. So from my perspective, Exercise is our biggest position. And that patent vests we'd like to distribute that. We just made an announcement right now that we're gonna spin out, you know, in some form or fashion and take it public. So, you know, my sense is that 2026 is the right year for that. I think that the trading volume in Exercise has been so low that I think distributing it out right now before there's really a big sort of event to happen with exosomes is probably I think the best time to do it is when there's good news on Exozymes. And you off the cuff just kinda give the whole of the various holdings of the holding company right now?
George Schuman: Well, we have we have roughly 4 million shares of ExoZyme's. So in current market, that's, you know, close to $10. So, what, $40 million, and then we have a numb don't know the exact number of shares, but a couple million shares, I think, of HeartBeam warrant. So and we have then we have, you know, patent vest as a we own a 100% of it, and it'll be spun out. And then we have some smaller warrant positions that are not meaningful. But I think those are the major positions. And so if you add up that, you know, it's a substantial number, and the idea is to not keep that buried. I mean, right now, our enterprise value at current market is, like, $35 million. So it's below, you know, significantly below our the value of exercise and our cash and other securities. And so, you know, I we don't I think going forward, we're not gonna really need much capital to operate as we do more financings that offsets our operating costs. So, really, it's distribute out as much equity as we possibly can. And so, hopefully, in 2026, I think that's kind of the year makes sense. I think do it into a stronger environment for mark Microcap and when these companies have a sound footing than it's, you know, makes all the sense in the world to distribute it. We've always, you know, I always tell people we started MDB with when we, you know, when we started in 1997, we started with, like, you know, a few $100,000 and an idea. And I always tell people the rest is profit. You know? We created, you know, multibillion-dollar companies with no capital. And so, you know, what we did do is scale up our operations to do more than more than, you know, one company every 18 months, and scaling up took, you know, it increased our operating expenses. But, you know, we should be able to offset those operating expenses with, you know, fee income and what have you. And I think that it also becoming a clearing firm increase our OpEx a bit as well. So combination of scale, the clearing firm, and scaling up patent vest, you know, it increased our OpEx from, you know, roughly $5 million a year to $10 million a year. But the great news is that intellectual capital created like I said, multibillion-dollar companies. And I don't think we're getting stupider. I think we're getting smarter. But I can tell you, I felt pretty stupid last few, you know, last couple years being involved in deep tech and biotech. And so certainly, being in the wrong place at the wrong time, like I said, or being too early is the same as being wrong. So we gotta pivot to being right. And that's what we're hoping to do right now.
Operator: So, Chris, to follow-up on your comments about patent vest, the question here says, are you planning to take it public in the same way you have done all the others? Will MDBH remain a controlling or large shareholder in PatentVest?
Chris Marlett: Again, our goal would be to, again, is take it public. I think that from my perspective, again, I'd like to get it the hands of the shareholders as fast as possible. There's no real reason MDB to control it going forward. You know, if we spin it out, I'll still have a pretty, you know, existing shareholders and also have a pretty good interest in it. And so the goal would be to get as much of it into the shareholders' hands as possible. But the exact plans as far as exactly how we're gonna take it public, whether it's through an IPO or through maybe just a distribution to shareholders. That hasn't been fully baked yet. But we'll be announcing, you know, those plans as we develop it later this year.
Operator: And here's a pipeline question that came in. Are there other companies like Buddha Juice being a nontraditional big idea type company? Currently in the MDB pipeline?
Chris Marlett: Yes. So you know what's kind of fun is, you know, I've been feeling down been feeling pretty, you know, as our socks are down, I'm, like, not feeling so smart. But we've had, you know, we've had a lot of calls from people. And, you know, the way Buddha came in, it was a relationship and someone just asking me for advice, and that's how it turned into an IPO. Had one of our community members call me recently and he's got a really exciting company. I can't tell you the sector or what they do, but I'm super excited about it. It's got, you know, significant revenue momentum. And really exciting space. And, you know, he said to me, you know, Chris, listen. I, you know, I think taking this company public makes all the sense in the world. And there's nobody else I would take it to except MBB to take it public. And that made me feel really good that, you know, twenty-eight years of working, doing what we're doing, that people recognize that, you know, our reputation and the value we can bring. But also GT Metabolic that's gonna be at the conference. What an unbelievable story and opportunity and, you know, someone like me that's battled metabolic disease my whole life, like roughly fifty percent of the country now is it's a wicked, wicked, wicked. It is a disease. Yeah. You know, eat too much. Right? And you're overweight, but it's way more complicated than that. And GT Metabolic again, Thierry Tore who's the CEO of GT Metabolic, he we he had been on the board of Pulse Biosciences that we took public. And he said, Chris, he goes, public venture. He goes, man. He goes, you know, he's talking to VCs. He's talking to other people and what have you, strategics. And he said, you know, I think going public is the best thing for us. You know? And, again, a relationship and an experience with our form of public venture is why he came to us. And so it makes me feel real good that our reputation and our experience and, you know, and rep and relationships that we're seeing a lot of really cool things. So stay tuned, whether it's GT or others. I think we're gonna end up having a deep pipeline. But more importantly, I think I'm super excited because I believe, you know, I've been hearing for the last twenty years. Why would I go public? Why would I go public? Why would I go public? It's for the first time in a long time that I've, you know, these companies are walking in going, jeez, you know, everybody's saying we should go public. And so it's really it's all changed. Right? And it's really what I see is kind of the death of traditional venture, at least in the small company space. You're still seeing billion-dollar deals happen in the big, you know, the big funds doing huge AI deals and things like that. But for these smaller opportunities, where they don't need a 100 or $200 million, those companies are struggling. You know, the VCs are coming to us. Ironically, the VCs are coming to us also bringing us deals. So the whole game has changed. From my perspective. And I think that, you know, we went from 8,000 public companies at the end of the Internet boom to 4,000 public companies today. It's been the worst thing you could ever imagine for going public. But I think that I'm a big believer that's that shift is occurring. I sense it. I'm not, you know, I'm only right half the time. So hopefully this half I'm right. And so I think that going public is gonna be the thing to do, and so we're crazily we're so well positioned, for that wave that I think is gonna come.
George Schuman: There's a question here about it. Are you looking locally in as we expand our focus, are we looking locally in the Dallas DFW area, which is an incredible area, and there's a lot of venture studios here in venture. And the answer is absolutely. And I think, you know, the fact that we have our own fully clearing broker dealer we're not only looking at venture studios locally in Angel Groups locally in the Dallas area, but internationally that are coming to us that have a portfolio and are going like, we have mature companies. Could you help us take them public? So I think the pipeline is not an issue. But for me, I'm all community. I'm about building the network. So that's to me where the biggest issue is. And the biggest opportunity for us to do. Once we build it, they aren't even coming. They're here. And, you know, certainly in the Dallas area, I think the fact that we're taking a local company that's very well known in Dallas public when it could have been private equity in Buddha Juice, I think it's gonna help it kind of expand our following and interest in what we're doing in the DFW area. Any comments on that, Chris? Does that sum it up?
Chris Marlett: No. You know, listen, I think that, you know, Dallas has traditionally not been a hotbed for life science or companies, but there's a lot of great companies in Dallas. And I think that, you know, there's been a huge transition in the Dallas community. There are, you know, some life science companies that have started to percolate in the DFW area, but there's so many other companies, and it's a dynamic field. I mean, you've got what's happening in Dallas is crazy from, you know, Goldman Sachs opening up and bringing in what is it, 800 employees to Dallas. You've got, you know, so many people moving to Dallas. And you're also seeing hedge funds, private equity. All these guys are sort of congregating in Dallas. And so it's become, you know, a hotbed. I think we're gonna see a lot of activity. You know, we've been very specific about what we do. So for the most part, you know, Dallas has not been a biotech community, so quite frankly, there wasn't a lot of things to talk about with Dallas people. And so I think that going forward, though, that's gonna change, and I think that excited that we have a platform based here that I think can serve the market. But, you know, not just the Dallas market, but be.
George Schuman: Hey, Chris. We're at the end of our time here, and I want to get this one question out. It's a question about, you know, in the future, do you see you have to be an MDB shareholder in order to participate in offerings, which would certainly be a great place be for, you know, shareholders, existing shareholders to MDB. How do you see that playing out?
Chris Marlett: Well, I think it's still the same thing. Right? In other words, we've always, you know, we've told everybody that this is a community-based effort. And so being a shareholder in MDB is you're always gonna have priority over outside people to participate in offerings. That's it hasn't been a huge, you know, when you're doing life science companies, that are, you know, not the hottest part of the market, you know, being an MDB shareholder hasn't been that critical. But, you know, for those of you that have known MDB and participate in MDB historically, there were times where, you know, I was in the very uncomfortable position of getting phone calls from people begging me to get into offering. Right? And I like those days better by the way. So hopefully, it's coming around the corner again. And but, you know, and so part of the reason for going public was we anticipated that to be the case. Right? And it hasn't turned out that way in the short run. But, you know, going forward, that was the whole idea. And so we're, you know, we have a long memory. We're not gonna go back on what we said. So, you know, being a shareholder is gonna be important. To being, you know, for that. So Lastly, we're leaving, and that was lastly, but not really lastly. There's a number of patent best questions. I am assuming as we get further down the road, we're gonna have a call just on the patent vest, this AI law firm to answer what the model is, how that works, how what we see the value drivers to be. Is that accurate?
Chris Marlett: Yes. I mean, the team, you know, we've all been working on, you know, the business strategy for it, and it's pretty well developed. And I think you'll, you know, I think we're gonna be ready to present that to shareholders so they understand the value that Pat Investor represents. And I think had a lot of discussions with patent lawyers that want to join had a lot of, you know, discussions with strategic partners to, you know, come in and be part of the fold. So it's developing quickly. And so I expect that we'll be able to give some color on that here shortly to the shareholders.
Operator: Alright. Chris, any closing remarks?
Chris Marlett: No. Thank you guys for hanging in there. It's been it's not been a wonderful, you know, start to being a public company. Like I said, we've been in the wrong place at the wrong time, but I think, you know, we're working real hard to be in the right place at the right time. And I think we've, you know, the team has done a phenomenal job. You know, from our team that, you know, our analyst team and banking team that's putting together deals and team these things up, they're doing an awesome job, and I couldn't be more proud of the work they're doing. And I take total responsibility for being in the wrong place at the wrong time. It's not their fault. And as far as community development is concerned, you know, George and Tony and the whole team as far as what's going on there has done a phenomenal job. And we're, you know, really expanding beyond our historical MDB community and really getting out there and seeing how do we really scale so that we can bring, you know, several investments to people a year. And the whole team at Patvest that's really catalyzed and figured out how to create a real opportunity with that. So I couldn't be prouder of all the efforts of everybody but it's time to go put some points on the scoreboard. We gotta go win. So again, I appreciate all of you for sticking in there and over, you know, what's not been a great time. So thank you, everybody, and this will conclude our call today.
Operator: Thank you.
Chris Marlett: Thanks. Bye bye.